Operator: Greetings. And welcome to the Equity Commonwealth Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Ms. Sarah Byrnes, Vice President, Investor Relations. Thank you, Ms. Byrnes. You may begin.
Sarah Byrnes: Thanks Michelle. Good morning. And thank you for joining us to discuss Equity Commonwealth's results for the quarter ended June 30, 2017. Our speakers today are David Helfand, President and CEO; David Weinberg, COO; and Adam Markman, CFO. Please be advised that certain matters discussed during this conference call may constitute forward-looking statements within the meaning of Federal Securities Laws. We refer you to the section titled Forward-Looking Statements in yesterday's press release, as well as to the section titled Risk Factors in our most recent annual report on Form 10-K for a discussion of factors that could cause actual results to materially differ from any forward-looking statements. The company assumes no obligation to update or supplement any forward-looking statements made today. Today's remarks also include certain non-GAAP financial measures. Please refer to yesterday's press release and supplemental containing our second quarter 2017 results for a reconciliation of these non-GAAP performance measures to our GAAP financial results, which is available on our website. With that, I will turn the call over to David Helfand.
David Helfand: Thanks, Sarah. Good morning and thank you for joining us. I’ll begin with brief comments on market conditions and then provide an update on the company's progress so far in 2017. Broadly speaking the economy remains stable. The rate of economic expansion in the U.S. is projected to remain in the low 2% range for the year, about where it’s been for the past few years. On the employment front, non-farm payrolls grew by 222,000 in June, leaving unemployment unchanged to 4.4%. despite the low unemployment rate, wage growth has been modest. Equity markets continued to move higher with the NASDAQ up 19% for the year, the S&P 500 up 12% and the Morgan Stanley REIT Index up 3% for the year. While the fed has increased rates on the short end of the curve, the yield on the 10 year treasure has remained around 2.3%, partly due to market concerns around the long-term trajectory of the economy. Office fundamentals in the second quarter continued to show signs of decelerating growth. Vacancy ticked up due to new supply, rent growth weakened further and net absorption slowed versus prior year. Deliveries totaled 38 million square feet in the first half of 2017, the highest first half in eight years. New supply will weigh on occupancy for the remainder of the year with the total of 90 million square feet of completions expected in 2017. With respect to real estate capital markets, office transaction volume in the second quarter was higher than the first quarter with approximately $25 billion in sales volume though still down 10% or so compared to 2016. Real estate debt capital markets remained strong with significant availability and attractive pricing. CMBS spreads has been unusually stable so far this year, with AAA spreads steady at 90 basis points to 95 basis points. As a result, CMBS issuance is robust at $36 billion year-to-date and we expect issuance to hit roughly $80 billion for the full year, up $10 plus billion versus 2016. We ended the second quarter with a 21 property, 11.7 million square foot portfolio, which excludes six properties held for sale. The success of our disposition efforts has resulted in significantly better portfolio with high quality assets in good markets. Portfolio today is more concentrated with our 10 largest properties contributing 74% of revenue. Leasing activity during the quarter was healthy. We signed 190,000 -- 196,000 square feet of new leases and 252,000 square feet of renewals. In terms of dispositions, we closed on the sale of three properties in the quarter and one subsequent to quarter end, asset sales totaled $540 million year-to-date. We closed on the sale of Parkshore Plaza, a 271,000 square foot, 73% leased office property in Folsom, California for $40 million with pricing in the mid-6% cap rate range. We sold 25 South Charles Street, a 359,000 square foot office property in Baltimore for $24.5 million or $68 per square foot. The building was 94% leased at the time of sale. Though the building's largest lease roughly 60% of square footage expires next year. Finally we sold 802 Delaware in Wilmington for $34 million. Pricing was in low 7% cap rate range. This sale is a prime example of strong execution by the EQC team. Last year we were faced with the expiration of Capital One’s 241,000 square foot lease, our asset management and investment teams worked out a complex agreement with the tenant and an adjacent property owner resulting in a new 10-year lease and related parking arrangement that allow us just -- allowed us to renew Capital One and subsequently sell the asset creating substantial value. Subsequent to quarter end, we closed on the sale of 1500 Market, a 1.8 million square foot, 91.2% leased office property in Philadelphia for $328 million. Pricing, including the impact of approximately 150,000 square feet of lease is signed but not commenced was in the mid-7% cap rate range. We currently have nine properties totaling 3.1 million square feet in the market, including the five remaining held for sale assets. We will continue to sell properties selectively where we can achieve attractive pricing. Since taking ownership of EQC, we've been focused on creating value. We sold $4.7 billion of assets and used the proceeds to repay more than $2.4 billion of debt and preferred, over $2 billion of cash on our balance sheet. Our goal has been to aggressively lease and operate our properties to take advantage of our robust investment sales market with its valued office assets at record low cap rates. Our portfolio repositioning is intended to narrow the discount between the trading value of EQC shares and the market value of our assets and position the company with ample liquidity should an opportunity rise where we can invest capital to create long-term value. As we've said we have no intention of running a subscale business that has no reason to be. That said, there is still much to be done to realize the substantial value in our portfolio and at the same time explore growth opportunities. We are keenly focused on both efforts. With that I'll turn the call over to David.
David Weinberg: Thank you, David, and good morning, everyone. I will begin by reviewing our second quarter leasing activity and provide an update on our five largest markets. Then I will give an overview of our lease roll through 2018. Our 21 property, same-store portfolio was 88.4% leased at the end of the second quarter, up 20 basis points from the first quarter. During the quarter we signed 448,000 square feet of leases, including 196,000 square feet of new leases and 252,000 square feet of renewals. Rental rates increased 17.6% on a GAAP basis and 10.7% on a cash basis. Our largest lease this quarter was an 86,000 square foot renewal at 1601 Dry Creek, our property outside of Denver. Most of our other leasing activity was in Chicago, Philadelphia and Boston. In terms of our five largest markets, conditions are largely unchanged. Demand for space in Bellevue and Austin continues to be strong. In Bellevue, considering signed leases that have not commenced, the vacancy rate is trending below 10%. Austin vacancy rate is 9.3%, while new supply in Austin has been absorbed, there was 2 million square feet of office space under construction that we continue to watch. In the Philadelphia CBD, the vacancy rate is a healthy 11.1%. At 1735 Market Street we signed 41,000 square feet of new leases this quarter and our pipeline is active. This property's new amenity center and outdoor deck should open later this summer. Turning to the Chicago CBD, due to the recent delivery of 1.3 million square feet the markets vacancy rate increased to 13.6%. While the CBD has benefited from the in migration of tenants, the market is likely to continue to soften, given availability of quality sublease space and over 5 million square feet under construction or redevelopment. Our property, 600 West Chicago continues to perform well and is 96% leased. It is in Chicago's tightest submarket River North and benefits from strong organic tenant demand. In the Denver CBD, leasing continues to be challenging and its vacancy rate is 16.1%. The market has been impacted by new supply sublease space and a slowdown in leasing activity. We have 114,000 square feet of vacant space at 17th Street Plaza. The leasing environment in Denver is competitive and we are aggressively trying to get deals done. Finally, I would like to comment on our lease roll in 2017 and ’18. In total through the end of 2018, we only have 720,000 square feet rolling, which is 7% of our leased square footage. From this roll we expect 440,000 square feet to vacate the next six quarters. This compares favorably to the 350,000 square feet that vacated the first two quarters of this year alone, putting us in a good position to increase occupancy going forward. With that, I will turn the call over to Adam.
Adam Markman: Thanks, David. Good morning. I'll provide a review of our financial results for the quarter. Funds from operations were $0.25 per share, compared to $0.36 per share in the second quarter of 2016. Normalized FFO was $0.22 per share, compared to $0.42 a year ago. The decrease in normalized FFO was primarily due to $1.3 billion of dispositions completed over the comparative period, a large termination fee we collected last year related to a lease with Salesforce in Indianapolis prior to our sale of their building and lower same property NOI. Partially offsetting these declines were the benefit of interest expense savings from debt repayments, lower preferred dividend distributions following the series E redemption, an increase in interest income due to the combination of higher rates and higher balances of cash and marketable securities. Same property net operating income was down 5.5% in the second quarter, compared to a year ago. The decrease was primarily driven by higher real estate tax expense. The year-over-year increase in real estate tax was partially due to a 9.3% rate increase in Chicago that impacted 2017. More significantly, in 2016 the second quarter included an unusually large accrual adjustment that decreased real estate tax expense in Chicago for that period. Without this second quarter 2016 adjustment, the year-over-year NOI decline would have been 2.5%. Same property cash NOI was 7.5% lower than the second quarter of last year. The decline in cash NOI would have been 4.3% without the prior year accrual adjustments and real estate tax expense I just mentioned. Free rent related to the 1.1 square foot renewal we signed at Research Park in Austin in the fourth quarter of last year was the other large component of the decline. This quarter's cash NOI also does not include revenue from an additional 500,000 square feet of leases that were in abatement. In total, free rent in the quarter was $4.7 million. Tenants with commenced leases that were in free rent periods represent of $19 million of annual rent. The portfolio was 88.4% leased and 86.3% had commenced by quarter end. With the difference being 237,000 square feet that did not commenced and therefore was neither in cash or GAAP NOI during the quarter. Once this lease is start and get through their free rent periods, they would generate nearly $7 million in annual rent. The $19 million in free rent and the $7 million in rent is not yet commenced will begin flowing through our results by the end of the year. These increases in revenue, assuming normal growth and expenses would result in annual same-store cash NOI growth approaching double digits in 2018, although these growth rates will change as we continue to sale assets. Moving to dispositions, including 1500 Market we have sold $540 million of properties to-date in 2017. These sales generated a net taxable gain which decreased but did not eliminate our existing net operating loss carry-forward. We sold Parkshore Plaza in April and repaid the $41.3 million mortgage loan encumbering the property. We regained the $250 million, 6.65% bond that was due in early 2018 on July 15th. We currently have $175 million, a 5.75% baby bonds that open at par in August but don’t mature until 2042. Given the flexibility of this debt, we will continue to evaluate our options considering our $2.3 billion or $18 per share balance of cash and marketable securities. We have bought authority to buyback up to $150 million of additional shares, we did not buyback any shares during the quarter. Our balance sheet remains strong with over $3 billion of capacity and only $850 million of debt. Liquidity and balance sheet flexibility continue to be a competitive advantage that positions us well for future opportunities. Thank you. And with that, we will open it up to Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Manny Korchman with Citi. Please proceed with your question.
Manny Korchman: Good morning, everyone. Just sort of going back to thinking about market strategy, you sold a large asset in Philly. You’ve got several other assets in the market. How do you think about or how do you approach selling sort of a large holding like that versus having more control of the market or maybe said differently is that an indicator that you'll then be selling the other Philly assets?
David Helfand: I think in the case of Philadelphia we were substantially overweight given the three large assets we have, 1500 Market the asset we sold was a good example of our ability to stabilize an asset that for a long time sort of was mired in a mid-70s kind of occupancy. We took over the building, aggressively leased the asset to low 90s and thought it was a good time to exit given our overweight position in Philly.
Manny Korchman: And then maybe can you talk about the transaction markets really more generally, I thought the cap rate you guys sold that was probably little bit higher than we would have expected?
David Weinberg: Yeah. Manny, it’s David. Keep in mind the sale of 1500 Market was the largest office building in Philadelphia by size 1.8 million square feet, which means you probably had fewer bidders given the size of that bet, that combined with substantial capital requirements given the oversized lobby that is very dated put upward pressure on our cap rate.
Manny Korchman: Thanks everyone.
Operator: Thank you. Our next question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your question.
Jamie Feldman: Great. Thank you and good morning. I guess, David, can talk more about the 440,000 square feet to vacate and what -- how big those leases are and your prospects to backfill?
David Weinberg: Sure. So in 2017 for the balance of the year we have 215,000 square feet rolling, out of that amount we expect 100,000 square feet to vacate, only one tenant about 40,000 square feet is of any size, the rest are 10,000 square feet are smaller. And then in 2018 we have 504,000 square feet rolling, of which we expect to get 340,000 square feet back. There are three tenants ranging from 30,000 square feet to 40,000 square feet, and the rest are smaller. So unlike in the past year, year and a half we don't have any large exposure the next six quarters. It tends to be spread out across our portfolio, so the backfill opportunities will -- as always will vary by market. But as we said earlier for the most part we are seeing good leasing activity today and we think we are in a good position to grow occupancy going forward.
Jamie Feldman: Okay. And then what markets are the 40,000 square footers?
David Weinberg: The markets in the 40,000 square footers are, it’s in Austin, our suburban assets, Downtown Austin and 8750 Bryn Mawr which is the office building we now [indiscernible].
Jamie Feldman: Okay. Thank you. And then can you just talk generally about the transaction market, I mean, are you seeing any change in pricing, I think, David, you had mentioned it was still robust sales market. Just kind of any change in valuations or underwriting that we are seeing -- are you seeing?
David Weinberg: Yeah. Well, I don’t think we've seen signs of any change in the last six months to 12 months. It is the summer where things tend to be a little slower and we expect a lot more offerings hitting the market September and I think we will have more data point than to give you a better answer.
Jamie Feldman: Okay. And then when we met with you guys at NAREIT, you talked about the fork in the road in terms of remaining a going concern versus binding investments. Can you just talk about your latest thoughts on that on where the fork is and how far away?
Adam Markman: Hey. It’s Adam. We started this process with 156 assets, we are down to 21. So the fork is clearly closer, but we don't think that we are there yet. And the one thing that you heard in, David Helfand's comments, we are focused on creating value that is where our focus has been from the beginning and we will evaluate that crossroads when we get there with that in mind.
Jamie Feldman: Okay. That’s helpful. Thank you.
Operator: Thank you. Our next question comes from John Guinee with Stifel. Please proceed with your question.
John Guinee: Great. Thank you very much. Putting on my shareholder fiduciary hat Adam, David, you’ve gone from 150 plus assets down to sub 20 assets. G&A is now $12 million a quarter, which is an astounding 25% of cash NOI, yet we are still not paying a dividend. Can you sort of talk through the G&A and the dividend plans?
David Helfand: Well, I am happy to try and address that. We've had this conversation I think on every call. So we appreciate you raising it. We are mindful of the G&A. We try to run the business as tightly as we can. But we've said from the beginning that we aren’t going to sacrifice the team we have created and the capability we have created to avail ourselves of opportunity should it come in an effort to save a little bit of G&A, given that if we aren’t able to find that opportunity all of the G&A is going to go away. So we recognized that there is a load right now that our shareholders and we are bearing to maintain the optionality of the company in its attempt to find a growth opportunity. And as we said before, it won't persist for long, so while it’s high today, it'll either be right sized to growth or it will be reduced to zero.
John Guinee: Great. Thank you.
Operator: Thank you. Our next question comes from Jed Reagan with Green Street Advisors. Please proceed with your question.
Jed Reagan: Hey. Good morning, guys. So are you getting a traction on potential growth -- external growth opportunity have you closed on anything recently and then have there be any changes in the types of opportunity you are exploring?
David Weinberg: Hey. Jed, it’s David. I'd say we continue to devote a lot of time and energy trying to identify growth opportunities. You're not close until you get a deal done. I don't know if there's been a change in the opportunity set. I can just tell you, especially now that we are down to 21 properties. That is the lion share of our focus and energy trying to identify those opportunities and working as hard as we can.
Jed Reagan: Okay. I guess, separate question on the -- maybe one for Adam on the year-over-year increase in operating expenses related to taxes. Is that the factor that could continue into the second half of the year? I think I heard that it was maybe a kind of 2Q event. But any lingering effect into the back half?
Adam Markman: Primarily a 2Q event, let me give you a little color that might help answer the question and give you a better understanding of our change in OpEx. So year-over-year we had our $4 million, 15 .3% increase in operating expenses. Excluding real estate tax, OpEx was up less than $200,000. So it was basically flat. So that remaining $3.8 million had two components, there is $1.4 million that’s due to higher tax rates and assessments in Chicago, in Bellevue and in Denver, of that $1.4 million, $1.1 million is due to the 9.3% increase in the Chicago tax rate that I mentioned in my prepared remarks. So the remaining $2.3 million is a prior year accrual adjustment in Chicago that resulted in a significant reduction in tax expense in the second quarter of ’16 and then that thereby made the increase year-over-year greater by that same amount. So the adjustment in the second quarter of last year was the reversal of what we anticipated would be a large real estate tax increase that eventually turned out to be a 1.24% decrease in tax rate in Chicago. So if you disregard that second quarter ‘16 adjustment that 15.3% OpEx increase that we have reported goes to 5.8%. As I mentioned again in my prepared remarks, the 5.5% GAAP NOI decrease becomes 2.5%, the 7.5% cash NOI decrease goes to 4.3%. So I guess the last comment on it is, as for the 2017 tax increase, we expect to recover about two-thirds of that in reimbursements from our tenants over time.
Jed Reagan: Okay. That’s helpful. I appreciate it. And then can you give any color on the buyer of 1500 Market, what kind of financing they may be using? And then just may be any general comments on kind of what the [ph] bidding tent (27:11) was like for that asset, maybe the debt and breathe?
Adam Markman: Sure. I will answer the latter question first. We started that marketing as you probably recall maybe 15 months ago. It took some time. I think it's an example that -- we could have sold that earlier but we are not a price taker. We had a work through multiple buyers until we found the right one, meaning the one who was at a price we thought was fair and that would close to private buyer, a syndicator and they levered up. I think it was CMBS debt. I don't recall the leverage ratio. They don’t want to surprise me if they try to match proceeds given their profile.
Jed Reagan: Okay. Appreciate that. Thanks guys.
Operator: Thank you. Our next question comes from the line of Mitch Germain with JMP Securities. Please proceed with your question.
Mitch Germain: Good morning. Thanks for taking my call -- my question, the five assets for sale other than the Philly asset, two Maryland, two Minneapolis, one Missouri, any rhyme or reason behind those assets, those markets?
David Helfand: Well, I think, it's consistent with some of the strategies we've articulated in the past. There are two of them in Minnesota ones are industrial building. So those are not office. And then the other three are smaller office buildings in secondary, tertiary location. The type of assets that, we've been calling from the portfolio from day one.
Mitch Germain: Got you. I think, Adam, you mentioned, a gain on the -- I believe year-to-date or the most recent sales. How should we think about the potential for special dividend as the year unfolds?
Adam Markman: My answer is the same as I have given in the past and is that that number will fluctuate greatly depending on which of the assets we exposed to the market end up closing, some has significant gains, some have significant losses. We will do it at the NOL which we talked about in the prepared remarks. But where that ends up at year end will be dependent on transactions.
Mitch Germain: Great. And the last question, just back to those items that are held for sale, with all of those part of that group of assets that were being marketed as of the end of last quarter. Just curious as to what was being marketed, what has -- what's been sold and kind of what's being marketed today, like the population of that group?
David Helfand: Yeah. I think the population is largely unchanged. Those five properties would have all been included in the disclosure we provided last quarter.
Mitch Germain: Thanks so much guys. Good quarter.
Operator: Thank you. Our next question comes from the line of Jamie Feldman with Bank of America Merrill Lynch. Please proceed with your question.
Jamie Feldman: Great. Thanks for taking the follow-up. Just two questions, one is can you quantify the amount of NOLs left -- carry-forwards left?
Adam Markman: We haven’t disclosed that.
Jamie Feldman: Okay. And then I guess just more generally about Downtown Philadelphia. Maybe to help frame the cap rate on 1500 Market versus what you think is reasonable for other assets? If you could provide any color there? And then also just bigger picture on the market itself, we've heard from some broker that there is some space coming back to market or that is expected to come back to market, just your general thoughts on like Downtown CBD Philly and how you see fundamentals there over the next couple years?
David Weinberg: Sure. So it sounds like there are two questions, the first what is the cap rate on the sale of 1500 Market Street applied to our other two towers and I'd say it really doesn't. When you think of cap rate math, obviously, 1735 Market Street is a [ph] trophy (31:26) tower. It is only 75% leased. So you wouldn't expect even a stable cap rate to be applied to that asset. So if we were to sell it today you'd expect that the trade inside. And then 1600 Market Street, that is 84% leased, but that cap rate math is little tricky, because as we walked through PNC last quarter we announced we extended their lease, they are giving space back, but that's not effective until 2019. So if your cap are going to in place income you got be mindful of the giveback, which would have upward pressure on what you would otherwise see as the cap rate. In terms of the market overall, I think, we describe it as healthy leasing activity, if you read the third-party reports, was a little slower this quarter. We are still seeing very good interest in activity of 1735 Market Street, in terms of our other properties 1600 Market, I would say that is more in the middle of the bell curve. It’s commodity Philly A product. We have upper floor space which is helpful, but as you alluded to it feels like that markets going to be a little more competitive going forward. There are some tenants moving around downsizing and several larger tenants are rolling in ‘19 and ’20, which should create some more activity that people are looking forward too.
Jamie Feldman: Okay. That’s very helpful. Thank you.
Operator: Thank you. Our next question is a follow-up from Manny Korchman with Citi. Please proceed with your question.
Michael Bilerman: Hey. Good morning. It’s Michael Bilerman here with Manny. David, you and your team has done an admiral and exceptional job turning cankers into cash and you talked a little bit in relation to John Guinee’s question about optionality. How long should shareholders expected to pay for that optionality in terms of the cash that you built up and at what point does the decision need to be made, is that three months, is it six months, is it 12 months, how long should we wait?
David Weinberg: Thanks, Mike. That’s a fair question. It’s a question we debate around here quite a bit. We don't have a great answer other than given how small the portfolio has become, it’s sooner than later. Having said that, it’s going to dependable on the circumstances as we get further into ‘17 and into ’18, and try to determine what the market looks like, what the opportunities look like. How are the debt capital markets? How is the overall economy? I would say if things remained as they are today, which is relatively stable. Debt markets are not providing overleveraged situations. There was no distress that you can see near-term that would shorten the window and we would look to exit sooner, if things start to fall apart and we start to see opportunities are created and we have a greater pipeline of choices in terms of what we do then we probably hold that a little bit longer. But I don't think it's a long time. We set out on this path, while ago we've executed on the bulk of what we have to do on our portfolio, but there are still, as I said, opportunities to create value and stabilize assets before we sale them into the market. So the two things are happening in parallel. It's not a few months, but it's also not a few years.
Michael Bilerman: And but you think about the opportunity that you are looking at, obviously, paying the highest price allows you to win and there certainly has been a tremendous amount of transaction volume over that 12 months to 24 months, even though it’s down slightly this year. What is it about the opportunities that you're looking at that don't make sense for Equity Commonwealth?
David Weinberg: Well, I think, you referenced it in your question, which is to say, we are not buyers today of market in general. We -- the price per pound and the yields to us don't represent attractive entry points. But as you know there's always opportunity and our history in this building and the equity world and at EQC is that we look for dislocation, we look for complication, we look for opportunities to gain an edge through capital, our operating capability. And while none of those are obvious today we often point back to Equity Commonwealth and in beginning of 2014 when we started to look at Equity Commonwealth, most of those of facts were the same. The markets were down, pricing was aggressive and we generally didn't think we would have a lot of opportunity and Equity Commonwealth is a complicated situation that required a variety of skills and persistence and focus and we applied those, we bought the portfolio, we have added a substantial value. So I think we can do it again if we find the right opportunity. We have to be disciplined and we have to stick to our meeting in terms of what we know best, what we have an advantage doing and we probably have to find a situation where we are not in a competitive bid, because we are not like the competitive bid.
Michael Bilerman: And it’s been a while since the equity organization was in retail at least in the U.S. What type of experience you guys have on the team today to evaluate retail opportunities. I would assume that there is got to be some level of distress or taking a contrarian view and is that something you are spending a lot of time on, whether that would be malls or strips?
David Helfand: So we know just enough about retail to know that we don't want to go into it.
Michael Bilerman: That was a pretty quick answer. All right. Thank you, guys.
Operator: Thank you. And our final question is a follow-up from Jed Reagan with Green Street Advisors. Please proceed with your question.
Jed Reagan: Hey, guys. Just a quick housekeeping follow-up here. It looks like there is larger Georgetown expiration in a couple years, any sense of their plans and then is there any more insight on whether Expedia might keep some of their space up in Bellevue, are you having conversations with other tenants with that space at this point?
David Weinberg: All right. Hey, Jed, it’s David. Georgetown, their lease expires in 2019 -- September 2019. It’s actually a two building property and they sub-leased one of their buildings to another user and we've -- we are engaged in conversations with both Georgetown and the other user about the long-term plans. In terms of Bellevue, we do not expect Expedia to remain in any space beyond the expiration December 2019. Obviously given what's going on in that market, phenomenal absorption statistics and that building being a high profile vacant building, we are reaching out to multiple large users in the Seattle Bellevue area to gauge their level of interest.
Jed Reagan: What were the sort of decision when they would be like for -- tenant like that, is that 12 months out or could be two years out?
David Weinberg: Larger tenants tend to look two years, three years out.
Jed Reagan: Great. That’s helpful. Thanks guys.
Operator: Thank you. There are no further questions at this time, I would like to turn the call back over to Mr. David Helfand for closing remarks.
David Helfand: Thank you for joining us today. As always we appreciate your interest in Equity Commonwealth. Enjoy the rest of your summer.
Operator: Thank you. This concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.